Operator: Good afternoon, and welcome to the Beam Global First Quarter 2022 Financial Results and Corporate Update Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kathy McDermott, Chief Financial Officer. Please go ahead. 
Katherine McDermott: Thank you. Good afternoon, and thank you for participating in Beam Global's conference call for the first quarter of 2022. We appreciate your time today for joining us for this call. Joining me is Desmond Wheatley, President, CEO and Chairman of Beam. Desmond will be providing an update on the recent activities at Beam followed by a question-and-answer session. But first, I'd like to communicate to you that during this call, management will be making forward-looking statements, including statements that address Beam's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in Beam's most recently filed Form 10-K and other periodic reports filed with the SEC. The content of this call contains time-sensitive information that is accurate only as of today, May 25, 2022. Except as required by law, Beam disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. Next I would like to provide an overview of our financial results for Beam's first quarter ended March 31, 2022. In March 2022, we're excited to say that the company closed on the purchase of AllCell Technologies. The addition of energy storage solutions to our EV charging product is a great partnership with many synergies from a sales and manufacturing standpoint. Because this was an asset purchase, the first quarter of 2022 financial statements include the energy storage business for the March 4 closing date through March 31, 2022. It is not included in the prior year comparison. For the first quarter of 2022, we reported revenues of $3.8 million, a 175% increase over $1.4 million reported for the first quarter of 2021, which was the highest revenue quarter in the company's history, in the first quarter that is typically lower revenues. The quarter includes $0.4 million for the energy storage business. Our sales to state agencies and municipalities continue to be our primary market at 69% of total revenues. We also increased our revenues to federal customers based on our increased investment in sales resources and consultants in the federal space. We also saw growth in the enterprise business segment as employees are heading back to the office and looking for EV charging. Gross loss in the quarter ended March 31, 2022, was $0.3 million compared to $0.1 million for the same period in 2021.  The gross loss improved by 3 percentage points compared to the prior year as a result of the increased production volume resulting in favorable fixed overhead absorption and improved labor efficiencies and utilization. These savings were partially offset by higher material costs for steel and other components due to supply chain shortages and other inflationary pressures. Operating expenses were $2 million for Q1 2022 compared to $1.1 million in Q1 2021. The increases were primarily due to the addition of AllCell expenses for March, increased investment in sales and marketing to support revenue growth and also increased legal and accounting services partially due to the acquisition. The net loss was $2.3 million or $0.24 per share for the first quarter of 2022 compared to $1.3 million or $0.14 per share for the first quarter of 2021. At March 31, 2022, we had cash of $19.2 million compared to $21.9 million at December 31, 2021. The cash decrease was primarily from operating activities and the cash payment for working capital for the purchase of AllCell. Our working capital decreased from $24.6 million at December 31, 2021, to $21.8 million at March 31, 2022. I will now turn the call over to Desmond to provide the business update. 
Desmond Wheatley: Well, thank you, Kathy, and thank you to all of you who are listening and supporting Beam Global. I'm speaking to you today from the HC Wainwright Conferences in Miami, Florida, where I have spent the last few days meeting with the investment community. So my apologies in advance for any outside noise as it's not easy for me to control the environment here. But I'll push through whatever challenges come my way, like I always do. 2021 was a year of records for Beam; record revenues, record product deliveries and record sales. We're continuing that record breaking streak as we head into 2022 with a new record for quarterly revenues of $3.8 million, up from $1.4 million in the first quarter of 2021 and up from $3.4 million in the fourth quarter of last year. Product deliveries in Q1 of 2022 were 250% of what they were in the same period of last year. Now this is a metric which tells us much more of a story than perhaps might first meet the eye because Q1 has often been a fairly weak quarter for us. Not surprisingly, in the past, we've crammed all the revenue we came into the fourth quarter to hit full year results and that's typically left us in a position of starting the New Year with low or no backlog sometimes. We certainly did cram a lot of revenue into the fourth quarter of 2021, and it was, in fact, until now, the best quarter in our history. But because our sales growth was so strong in 2021, particularly towards the end of the year, we did not exhaust our backlog even during that record-breaking quarter. On the contrary, we entered 2022 with the strongest combination of pipeline and backlog we have ever had. We also entered the year much better able to deliver on that backlog because of the excellent efforts of our operations and engineering teams in increasing our efficiency and ability to output products. These combined factors enabled us to make Q1 of 2022, apart from being a weak quarter as historically been the case, rather the best quarter in our history with the highest revenues. That increase in revenues and deliveries continued another set of trends that we put in motion during 2021. Our relentless efforts to manage costs and to extract value from every facet of our business and the vendors and partners who support us, continue to pay off in Q1 of 2022. You'd have to be in a coma to have missed the impact of inflation across the economy and across the globe. It seems as if everything is getting more expensive and our observation is that that has been the case during the last several quarters. Our cost structure was impacted in Q1 by increasing cost of inventory, which we encountered during the second half of 2021 and also into the first quarter of this year. Those cost increases span the great variety of materials and components, which we integrate into our end products: Steel, aluminum, copper, battery cells, semiconductors and even mundane items like fasteners and plastic parts all came with increased costs. Shipping, a very large cost component of our business was impacted by higher diesel rates for our internal transportation resources and also by increased third-party transportation costs, which are no doubt being impacted by the same influences we're seeing. And yet, in the face of all of these rising costs, which are outside of our control, we actually had a further 3% improvement in our gross profitability as a result of managing what was within our control. Our teams ground 3% of our cost structure, while everybody else's costs are going up, cost per unit structure, I should be really specific on that. And I've been reported for some time that as our volumes increase, we'd see a reduced impact from fixed overheads. I've also been reported that labor cost per unit would come down as our production cadence increase. Well, the numbers make reality as of my projections. We've seen at least a 10% increase in our bond costs during the COVID and inflation period, and yet we've reduced our overall cost per unit produced. Combining the 10% increase in bond costs with our 3% improvement to gross margins means that actually the Beam teams had about a 13% impact on cost per unit reductions through internal actions. And take note that the cost reductions we've caused to happen do not yet include the significant reductions in costs we anticipate as a result of integrating our own new battery solutions onto our products instead of using third-party solutions as we're still doing. Those further savings are in our very near future. By the way, we share the opinion of many experts that pricing stability should return this year. And as a result of that externality and our own internal ongoing cost management efforts, we anticipate further improvements in gross profitability as the year rolls on and as our volumes increase. And we certainly do expect volumes to increase. At the moment, our pipeline is well over $100 million. Adding our new battery company pipeline to that number takes it up significantly higher. We're seeing new and material opportunities from both government and enterprise. We've received purchase orders for our products from internationally recognized corporations and we continue to advance opportunities for our Driving on Sunshine sponsored network from similarly recognizable corporate BMOs. On the government side of the business, we continue to receive orders from municipal, county, state and federal entities. We recently announced that we've been awarded a blanket purchase agreement from the federal government. This enhancement to our previously announced general services administration contract will make it even easier for federal entities to buy our products at a time when their requirements are rapidly increasing and the urgency around EV charging infrastructure is picking up steam. Many federal agencies will be taking delivery of electric vehicles in the fourth quarter of 2022 as part of the administration's requirement to move away from gasoline and diesel. There is as yet not enough charging for those vehicles, time-consuming permitting, construction and electric work make it very difficult to install traditional grid-tied infrastructure on such a short time frame. And the lack of available grid circuit capacity in many of the intended EV charging locations is daily coming to light. It's also important to remember how important resiliency will be to these government fleet vehicles and for all EVs for that matter. Our product's ability to continue to charge vehicles during blackouts and other utility grid failures is an increasingly important selling differentiator for us. Note that many other EV charging companies are starting to add energy storage to their installation, something we've been doing for a decade. But theirs rely on the grid to recharge their batteries, ours do not. Fleet operators get that. And as they become more reliant on EVs, they're becoming less forgiving of EV charging infrastructure that's only as reliable as the grid to which it's connected. Of course these circumstances are what Beam Global's products address in a unique and well protected manner. Urgency is music to our ears. Lack of utility grid capacity, while it's alarming, is a key ingredient to our success, and it is very real. Resiliency and the importance of maintaining vital fueling infrastructure during disasters is just what we do. In fact, many of the critical cornerstones of our business strategy over the last many years, cornerstones, which previously were not recognized broadly, are now becoming central issues at both a local and national level. I believe we're firmly in the lead when it comes to addressing these challenges, and so it seems to our increasingly large portfolio of customers. If you're looking for proof of how mainstream and recognized our products are becoming, you need to look no further than the front cover of the Federal Highway Administration's NEVI or National Electric Vehicle Infrastructure program guidance document. This document offers program guidance on how the $7.5 billion slated for EV charging infrastructure should be allocated by the states and other agencies who will spend the money. The document only contains one image. It's a photograph, and it's on the front cover, and it's of our EV ARC systems providing DC fast charging at a rest area in California. That's right. Our products are the only products pictured in the spending guidance document. Good one. It's a nice picture. Further recognition at the federal level came when Congressman Peters recently named us and our products specifically during a televised house energy and commerce hearing, saying that Beam Global is creating a sort of innovative products that will be essential to transportation and energy in the future. The essential nature of our products find yet another new opportunity to shine this quarter when the Marine Corps and others used it for a wildfire fighting exercise in California, who would have thought of that when first looking at Beam Global. There are just so many areas where reliable power that does not roll on liquid fuels or the utility grid is essential. More and more agencies and corporations are looking to Beam Global to provide that power. Two or 3 weeks ago, I was with a new very large corporate customer. The person I met with has responsibility for around 500 buildings in the company's network. She's done an excellent job of installing grid-tied charging at many of those locations. And yet, there I was meeting with her and she told me that, and I quote, "We saved her ass." It turns out that she needs more charging in those locations and it's been informed that there's not sufficient grid capacity on her properties to add more chargers, but she needs them. So she's turned to us. Our EV ARC product is solving her problem. Now I've been commenting on this future certainty for many years, and now that future is here. Just think of all of the buildings across the U.S., which have tapped their capacity and will need more charging in the future. The opportunity for second wave deployments for us is fantastic. Solving for all of those people who used up their grid capacity in the first waves of EV charging deployments that they did in the traditional grid-tied method. I'm very happy to solve that problem for them because they will need more chargers after they run out of circuit than they needed when they used up what was available to them. By the way, I just took delivery of a brand-new Rivian R1T pickup truck this week. I think I made the down payment about 2 years ago, and I can tell you it was worth the wait. Zero to 60 in 3 seconds in a pickup truck. You have to experience it to believe it. And when you do, you will be certain of one thing, EVs are going to own the future, and they're going to do it a lot sooner than many anticipate. That means that there will be a whole lot of demand for our products because the EVs will come a lot faster than the grid upgrades. And I believe we'll see many more customers like the one I just described to you, who need charging, but don't have available circuits, lots and lots of new customers with urgent needs. And while we're getting a lot of new attention and orders from entities with whom we've not done business in the past, we're still providing solutions for some of our excellent current and past customers, just about the best endorsement of a product you can get. For example, the State of California's Department of General Services, who last year gave us the biggest order we received in our history, so far that is, continues to order meaningful volumes of our EV ARC product. We recently received purchase orders for 23 more units to be delivered in the coming months. The combination of year-to-date revenue, booked backlog, record high pipeline and the integration of new revenues and pipeline from our battery business are setting 2022 up to be an excellent year and a launch pad for many more excellent years thereafter. We are advising our customers to get their orders in as soon as possible, especially large orders, so that we can get them into our increasingly crowded order queue. Our acquisition of AllCell Technologies, which closed on March 4, 2022, is moving through its integration stage of evolution. Beam Global's energy storage business has already made significant sales like the $2.3 million order we received shortly after closing the transaction. This is adding to our backlog and revenue and we're delivering orders on those orders to date. We're also in the final stages, and I'm very excited about this, of development of a new Beam pack battery solution for our EV ARC products, which will be integrated into all EV ARCs soon. We expect the first EV ARCs to leave our San Diego factory with Beam packs in them as early as the beginning of June. The packs are being manufactured in our Chicago facility. I've seen them and I'm delighted with our quality, ability to scale and also crucially cost because remember, bringing down the cost of batteries will have a significant impact on bringing down our overall cost per unit. Battery supply chains are under a lot of pressure at the moment. During the last few months, we've seen cost increases for battery cells for the first time in over the 10 years that I've been involved in this industry. There are further cost increases to come before we return to what the entire industry expects, a prolonged and inexorable lowering of battery cell prices. These are extraordinary times indeed. Had we not made this acquisition, it's quite possible that we would not have received sufficient batteries to fulfill our charging business' requirements, but we did make the acquisition, and we're now about to backfill shortages elsewhere with our own superior product and at a lower cost. I'm delighted. Even the first generation of packs that we're producing are costing us less than we were paying for externally sourced product. But I believe the cost-cutting journey for battery storage is only just beginning. Our engineers and scientists on both the charging and the storage side of the business are working together to engineer battery solutions, which are ideal for our products and at significantly lower cost than the more generic packs we've been using to date. There's never been a more important time to take control of battery supply chains. And while we still see cost increases on commodity cells, steel conductors and other components used in making these battery packs, we are confident that we can continue to reduce the cost contributions to our charging products. Remember that batteries constitute not far off 1/3 of our bill of materials. So any cost savings we can achieve in this area will be meaningful to our overall cost model. Beyond that, we're very excited to be in the other areas of our battery business and by the opportunities which we see. The world is increasingly electrifying and the move to untethered battery-powered products is plain for anyone to see. We intend to advance our technology leadership in thermal management, safety, energy density and data so that our batteries offer the best, safest and most connected solution for an increasing universe of customers. Being able to provide safety from thermal runaway, as far as an explosion for those of us who are not experts and also superior level of data connectivity at the battery level will, I believe, be significant differentiators for us. Energy density, long life, safety and telemetry are key ingredients to successful battery integration. And we've demonstrated abilities in each area to date and a roadmap of developments, which will soon further enhance our leadership in these important opportunities. So to sum up, we remain well capitalized. We have no debt. We have record revenues, record product deliveries, record backlog and pipeline of opportunities. We're cutting our costs even in the face of historically high inflation, and we're increasing our throughput and efficiency. We uniquely have a battery storage solution, which is central to our own products and the products of our battery-only customers. We've diversified our revenue opportunities whilst defending our most critical supply chain. And we've positioned ourselves to take advantage of the unprecedented spending in EV charging, energy security and carbon reduction efforts that are taking place at both governmental and enterprise levels. Business is never without challenges. But I can tell you that, thanks to the efforts and dedication of the Beam team, ours is going according to plan. From my point of view, Beam Global has never been better positioned with so many growing opportunities and an improved ability to execute on them. It's a great time to be on the Beam team. Thank you for your attention. And I'll now return the call to the operator and answer any questions you may have. Operator? 
Operator: [Operator Instructions] Our first question is from Greg Lewis with BTIG. 
Gregory Lewis: Clearly, you're doing a good job on execution. But I did have a question. Clearly the government/military opportunity is a huge potential growth opportunity for the company. As we think about the event path of that, as you'd work with these customers, how should we think about the timing of the ordering of the EV ARCs versus the ordering of the vehicles, i.e., are some of these entities trying to get their hands on EV ARCs ahead of ordering or is it kind of a chicken and egg, any kind of thoughts around that? 
Desmond Wheatley: Yes. So you've uncovered multiple areas, as you usually do, Greg. Let me just -- let me try and address them. And the first thing I want to point out to you is that, yes, the government side of our business remains very vibrant, and there's a lot of growth ahead of us for that. But cast your mind back to Kathy's opening comments, where she pointed out that our traditional state and municipal business was only [ 78% ] of our revenues, only, that's a lot, but it also shows you there was [ 38% ] coming from other opportunities and I think we're going to see an increase in that as we've said before, post-COVID, return to work, return to corporate type of environment. So while I'm thrilled with the government business, and we're going to continue to thrash it, don't think of us as a government only business. We're far from that. Now to your other question about the sort of cadence of ordering, it might not be surprising to anybody listening to this call to find that there are government entities who have electric vehicles, who are coming to them and do not yet have charging infrastructure in place for them. I don't mean that to sound unkind, I just mean it's one of those things no one's ever really done before, so no one's really been sure on the timing of these things. Again not to sound unkind or exploitative, this is excellent for us. The simple fact of matter is, if you're a government agency who receives a bunch of electric vehicles in the fourth quarter of this year and you don't have any charging infrastructure, what's happening is at the moment you're starting to look around and figure out what does that mean. And what you're learning is that by the time you go through permitting and electrical work and construction work and environmental impact studies and figuring out that you don't have enough grid capacity in the locations where you need to put the charging and all of that stuff. By the time you do all of that, you're in serious danger ending up with a bunch of electric vehicles with no way to charge them. Nobody wants to see that happen. That would just be unhelpful in every way possible, not to mention a terrible use of taxpayer dollars. We can solve that problem for them and we have a GSA contract in place, which has now been enhanced with the BPA, that's the blanket purchase agreement. And it means that those people who are behind or who are worried that they won't be able to get charging infrastructure traditionally installed fast enough, can come to us and we can solve that problem for them. But by God, we're going to have to ramp up to do that to come anywhere near meeting their requirements and that's a central part of our focus right now. And then beyond that, for those -- even those who do use the grid-tied charging initially, like the other customer I mentioned to you, they're going to run out of capacity at some point. We are on the radar now. We're talking to them. We've invested in government relations. We've invested in direct federal sales and other activities and it's very gratifying to see how much attention we're getting at the federal level right now. So I think it's going to be a mixture of all of the above. And in every instance, it's going to -- it will result in nothing but increased demand for us and, I believe, a very dramatic increased demand. 
Gregory Lewis: And then I did want to talk, I guess, a nice job on seeing the margin progression. It looks like it improved a couple of hundred basis points sequentially. What isâ€¦ 
Desmond Wheatley: Three hundred basis points to be precise. 
Gregory Lewis: Yes.  What has customer feedback been around the stickiness of pricing? And the reason I ask that is, whether it's the steel or the energy storage piece or the solar panels or the wage, labor? I have to believe most of the inputs in producing the unit is going higher. Now clearly, volumes are also improving. But what has kind of been, obviously, it's a product that the buyers need. What has been -- how should we be thinking about ASPs as we kind of move forward in this year? 
Desmond Wheatley: Yes. So it's a subject which gets an awful lot of attention from us, frankly. I am still very heavily focused on winning market share and increasing volumes. I think that it's got to be the most important thing that we do. We want large orders. We want to turn them through the factory. We want to grind cost out of the product. I'm convinced there's still a lot of room for cost reduction as we increase our volumes. And so the focus is heavily on bringing in the sales. Now that said, we have had a lot of internal discussions around increasing our prices because we are at very good value, in hundreds of deployments across the U.S. and internationally. In just about every instance the cost of our unit was less than the cost of avoided construction and electrical work and then the energy suite essentially after that. So we're very good value and that means that you'd think there's an opportunity for increasing our prices and we have talked about that. I can tell you, right now our tendency is to not increase the sticker price of the product, but we have had discussions and actually, I think, we're putting into effect some instances where there will be an inflationary surcharge, if you like. This is something that gives us some luxury. We can remove it in the future if costs stabilize as we anticipate and also if our costs come down and without giving people a sticker shock because they see the price going up. We're still dealing with an audience strength that is not educated in this space. And again, that's not to be unkind. They just haven't had experience with it. And so we're still dealing with an audience who has difficulty figuring out how a charge point -- charger can be $6,500 and an EV ARC can be $65,000. That sounds like it's 10x more expensive because they don't yet know how expensive it's going to be to go through the construction, electrical work and all of the other things. That takes a bit of about education. So we want to bring them in. We want to win big orders. We want to improve our profitability through reducing costs. And as I say, there's still a lot of opportunity to do that. But we are definitely looking very seriously at responding to inflationary pressures through some pricing increases, but probably is delivered as a line item on the proposal at some kind of surcharge, which we think the customer base will understand and probably be more ready to accept and digest and a simple, just a blanket cost increase with our explanation. 
Operator: Next question is from Tate Sullivan with Maxim Group. 
Tate Sullivan: Going back to your comments on the Beam pack. Did I hear you say are you going out and replacing the batteries and EV ARCs that are already deployed with that or is that just in future EV ARCs? 
Desmond Wheatley: No, we will not do that. We have no requirement to do that. What's so exciting about the Beam pack is that we are -- we acquired AllCell Technology on March 4. That wasn't very long ago. Time goes by very, very quickly when you're doing this stuff. And yet the teams have been working very hard, the engineering teams in San Diego on the charging side of the business and on the energy storage side of the business, and they have already produced a custom tailored pack for our products, the Beam pack and we have not been installing them in our products to date. So what's important for you to understand and the other callers to understand, other listeners to understand, is that the gross profits that you're seeing right now do not reflect the reduction in costs that we anticipate from using our own internal battery packs. However, those packs are being produced, even as I'm speaking to you, and through an incredibly accelerated timeline, and they will be introduced into our products, I believe, in the first week of June when we get the first shipment out of our Chicago facility and San Diego into first -- not first week of June, it will be some time in June. And so what that means is that from that time forward, the EV ARCs will be going out with our own custom battery packs in them. Those are better, will get better -- make a batch of products essentially. It's easier to integrate them into our product, which will mean ultimately a reduction in labor cost of integration and most importantly, they're a good deal, less expensive because we're only paying the cost basis, we're not paying the margins and everything else. That's just the beginning of that cost reduction move. So that's the key thing to understand. It's not that we would contemplate replacing batteries in the field because we're not having any problems with any of the batteries they have in the field. But certainly, moving forward, our products will have our own integrated packs, save us a lot of money, better product and also give us an opportunity to really start grinding out costs in the future. And then just one other thing -- one other comment I want to make about the Beam pack. It turns out that the kilowatt hour requirements that we have for our products come in increments, which are very similar to lots of other user's kilowatt hour requirements. That's not all that surprising really when you think about it. And as a result of this, this Beam pack that we're making, we intend for it to become a core and standard battery pack that we can mass produce and not only put into our own products, but also use extensively in other people's applications. And so that -- once we do that, that will allow us to move to further automation in the manufacturing of those packs and further mass production, which will result, we believe, in further cost reductions and a lot more revenue opportunities because now customers who have had to wait for a solution, a bespoke solution or an engineered solution or something, we'll be able to hand them something that solves all of their problems not off-the-shelf exactly, but without having to go through a lot of development. So there's a whole lot of opportunity coming out of this battery business. I'm -- every day, I thank God I did that. I made that acquisition, particularly in light of the supply chain and everything else, but it's going to have excellent ripple-down effects across many aspects of our business. 
Tate Sullivan: Yes. And great point on seeing other charging companies start to try to do batteries and products as well, too. And then circling back on the customer with 500 buildings, I imagine they can do a quite compelling analysis on how much they're paying for extra electricity for charging as well. Is that customer, if you can share, a repeat customer or is that a new potential customer? 
Desmond Wheatley: By the way, just on your first comment, let's remember that those batteries that the other EV charging companies are integrating into their EV charging installations are grid dependent and so you're not getting resiliency out of that. If the grid goes down, you're not recharging those batteries. I think it's very important to point that out because I don't want people thinking that what we've been doing for 10 years is being replicated by others now. It isn't. It's just adding batteries to a grid-tied installation maybe gives you one more charge for a vehicle, but it doesn't get you that kind of resiliency that we offer to all our customers, and that's a key differentiator for us. But to answer the core part of your question, the customer with the 500 buildings that I was talking. No, it's a new customer. And you're absolutely right, they have a lot of data. I think the really important takeaway from that is this second wave deployment thing. People often say to me, well, so and so has already got EV chargers. So therefore you don't have an opportunity with them. Well, that may be true today. But as there are more and more Rivians and F-150 Lightnings and all of the incredible variety of electric vehicles that are coming out here and hitting us, parking lots are just going to be full of the EVs. They're all going to expect to charge. And while all of these building operators who have already deployed, to their great credit, by the way, who have already deployed grid-tied EV charging are going to discover is that the next wave or perhaps the wave after the next wave will be either massively more expensive because they would have to dig a lot more trenching and put in a lot more electrical infrastructure are just impossible because I can tell you what happens is when you -- it's not just your own building that runs out of capacity, your own parking lot that runs out of capacity, pretty soon you get to the point where the local substation that's serving all the buildings around you runs out of capacity. And then that will require a substation upgrade and that's a very expensive and time-consuming process. And of course, when enough substations have to be upgraded, you need a new power station and all of the transmission infrastructure that goes along with it. So this is a kind of a dominos thing, which is certainly coming. I've been saying it for 10 years, a lot of people rolled their eyes when I was saying it. Now it's a reality, which people are having to live with. We are solving the problem and it ends up being a bigger and bigger opportunity for us as every day goes by, as every EV is sold and as every EV charger is installed on the grid, that's one less that will be able to be installed on the grid as we move forward. We saw it in this very local way with its existing customer. And again, I just love hearing that. "You saved our ass," she said, I mean, that's just fantastic to hear from any customer, particularly a brand new one with a huge opportunity. By the way, we are not deploying at all 500 of her buildings. Don't start writing any notes about that earning -- this is a beginning with her, but it's fantastic that she picked us and that she views us in the way that she does. And as it's usually the case, well, that's when we end up deploying a few products for a customer, and it's quite a few, by the way. It's not 1 or 2, but when we do that, they more often than not come back for more. 
Operator: The next question is from [ James McCullagh ], a private investor. 
Unknown Attendee: Two questions. First one is, is there any R&D going on to improve the survivability of the systems and adverse weather events? Obviously that's probably your key differentiator as well as the construction cost issue. But just on survivability, is there any way whether it's dismantling solar panels or anything that could be done to improve the survivability in an adverse weather event? That's the first question. And then the second question was on international market opportunities. If there's a concerted effort, whether it be in Europe or Australia, Southeast Asia to penetrate markets? And if so, if there's any discussion going on, on JV greenfield or is it too early for that kind of a capital investment? 
Desmond Wheatley: Yes. So those are both excellent questions. Let's talk about survivability first and let's talk about the reality as it exists today. Our product is rated now, actually an improvement of 5 miles per hour. Previously it was rated at 120 miles per hour winds. That means when I say rated, I mean an independent agency has taken a look at the thing, done all of their calculations and said that we'll survive 120 mile per hour winds. We have just increased that now to 125 miles. So 5 miles doesn't sound like a lot, but I'll tell you what, it does. The wind events of those sorts get exponentially more rare for every mile per hour you add to that sort of equation. That's what we're rated for. We know that they have survived 185 mile per hour category 5 winds in the Caribbean, and we know that we got a letter. We have this letter still from our customer who is a Governor down there saying that our products were the only thing that survived those hurricane storms. I went right over the top of it, frankly, even I was surprised. I know we built a very robust product, even I was surprised that we survived the sheer ferocity when I saw videos of buildings flying around and stuff like that, cars being overturned. So very robust from that point of view. Now the other thing is in terms of advancing it, just a couple of years ago, we were not flood-proof. Well, we were flood proof to about 6.5 inches actually. Today the product is flood proof to 9.5 feet. So it requires a 9.5 foot inundation to destroy our product. And that is incredibly rare in the sorts of locations where we're deployed. Waist-high water, yes, in the streets and that sort of stuff, storm surge or whatever else. But 9.5 feet, almost never happens. And so what that means is when you compare, during a Hurricane Ida or something like that, when you compare our products to grid-tied infrastructure, which are all destroyed during those sorts of nights. And don't forget, it's not just the charger, the conduit, the transformers, the switch gear, everything leading up to that charger, everything that's in that flood zone destroyed as we ripped out great expense and disruption and replaced. Our products on the other hand, the minute the waters roll back, you can move a car up to them and charge them. And in fact, if you dare, you can even approach them during the flood event and plug into the emergency power panel from a boat or something. I don't know if that's happened yet, but it will one of these days because we still have power up there available during those types of events. So we've made a lot of advances already. Those are 2, increasing the wind speed and the flood proofing that's come up. And I'll tell you, we'll never stop working to make the product better. But I don't think actually that we really need to concentrate a lot on resiliency at the moment. Certainly, one of the other aspects that we've done is because we've got this -- bought this battery technology company whose current chief claim to fame is their ability to prevent thermal runaway, stop batteries catching fire and exploding and doing all of the other things like that, certainly integrating those into our products gives it yet more resiliency and more safety. But it's already very, very robust. Any improvements that we can make there, we will of course do that through the never-ending process of improvement. To your question about international expansion, I've made no secret, but I'm very interested in going to Europe. Whether we acquire our way into Europe, partner our way into Europe or bootstrap our way into Europe is still a work in progress. I'm looking at opportunities. But it's definitely the biggest EV market in the world. I think our products will be more popular there than they are in the United States. Edinburgh, where I'm from, in Scotland, if you dig down 6 inches, you go back 300 years of history. And so digging trenches and foundations and all of that sort of stuff, the Europeans are much more sensitive about environmental impact of those sorts of things. Being able to bring a product and drop it off and charge cars with nothing but locally generated renewable energy seems like a real winner. And by the way, more of it seems like that, I know it, I have enough conversations with people about it, so I'm very intent on going to Europe. We've got a lot on our plate at the minute. We just finished this acquisition, looking at other opportunities. But yes, it's a high priority for me to go there. And you brought up Australia. It's interesting that you brought up Australia because, of course, they're very far behind on EVs. But they do have a new administration now who's going to hopefully reverse Australia's trend of ignoring the climate and the environment, which is what they've been doing for the last several decades. But one of the areas that we've seen a lot of interest from Australia, frankly, is with aircraft. Last year we set the world record for the longest flight of a production electric airplane anywhere. It's a real world record, by the way, we didn't make it up. And on that, we got a lot of press for that, and we got a lot of people coming to us from Australia, where, of course, they have a much higher reliance on small aircraft because of the vast distances that they have to -- flying doctors and things like that. And so we've got a lot of interest from them because they need charging infrastructure, just like everybody else does. It's very difficult to put charging infrastructure into airports, but we can -- but not for us, it's very easy for us to do it. So certainly we'll find a way to get into Australia, I must admit it's not a big area of focus for us at the moment. Europe is a much bigger area of focus, but I intend to expand internationally. We're -- as I've often said, we're called Beam Global, not Beam San Diego. 
Unknown Attendee: I remember in one -- I think it was a year ago on one of your conference calls, a quarter was impacted just by a freight charge on shipment to the, I think, it was the State of Hawaii based on -- it was a contracted price, which included freight. And obviously when you're dealing with -- it's fairly heavy equipment from what I understand, and you're dealing with some pretty significant freight costs, I'm guessing. So it sounds like that's a -- it sounds like Europe would be a tremendous opportunity, not just given the growth in EVs and the political climate. But I would guess also you might have some fairly unique solutions there too, so. 
Desmond Wheatley: You're quite right. By the way, you actually bring up something else very interesting, and I probably should have mentioned it in my comments. I'm very intent on bringing battery manufacturing from Chicago into San Diego, not at the expense of Chicago, in addition to Chicago, and that's because it will make a lot of sense for us to make -- produce our new proprietary batteries right where we produce our charging products, in our San Diego factory. We've got some space to do that there. I'm really interested in doing that, particularly because of a lot of government incentive money to help me get that done. And similarly, we are considering moving some EV ARC manufacturing and our charging products manufacturing into the Midwest. Again, not at the expense of San Diego, it's an expansive move. And a big part of the reason for that is what you just pointed out, products are heavy and bulky. We ship a lot of them to the Northeast and to other parts of the country. It would be a lot less expensive and a lot more efficient to do that from the Midwest. So these are things which are very much on our -- on the whiteboard, on the roadmap and for planning and we generally get to things. We generally do what we say we're going to do. Sometimes it takes a bit longer than I wanted to. But if we're planning it, we generally do it. 
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Desmond Wheatley for any closing remarks. 
Desmond Wheatley: I think we've covered a lot of stuff here today. We just had a record breaking quarter following a record-breaking year. We've got record-breaking pipeline and backlog combinations, our new battery company and the Ops team is doing a fantastic job of producing products and getting it out. As I said earlier, it's never without challenges, but that's what we're here to do. If it was easy, everybody would be doing it, right? It's just -- everything is positioning very well for us, for the future of electric vehicles, for the requirement of EV charging infrastructure like we make and I'm thrilled to be doing what I'm doing for a living. So thank you all for that opportunity. Thank you all for listening today and for being involved with Beam. Like I said, it's a great time to be on the Beam team. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.